Operator: Greetings, and welcome to the Nordstrom Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will begin with prepared remarks followed by a question-and-answer session. As a reminder, this conference is being recorded. At this time, I'll turn the call over to Trina Schurman, Director of Investor Relations for Nordstrom. Thank you. You may begin.
Trina Schurman - Director-Investor Relations: Good afternoon and thank you for joining us. Today's earnings call will last 45 minutes and will include 30 minutes for your questions. Before we begin, I want to mention that our speakers will be referring to slides which can be reviewed by going to nordstrom.com in the Investor Relations section. Today's discussion may include forward-looking statements so please refer to the slides showing our Safe Harbor language. Participating in today's call are Blake Nordstrom, Co-President; and Mike Koppel, Chief Financial Officer, who will discuss the company's second quarter performance in addition to outlook for fiscal 2015. Joining during the Q&A session will be Erik Nordstrom, Co-President; and Jamie Nordstrom, President of Stores. With that, I'll turn the call over to Blake.
Blake W. Nordstrom - Co-President & Director: Thank you, and good afternoon, everyone. As we previously shared with you, our customer is at the center of our strategy as we focus on creating a differentiated experience in each of our businesses. While we've been pursuing distinct strategies to grow each business, we're also working to link them together to provide our customers with a seamless experience. This is important because we know that when customers engage with us across multiple touch points, their lifetime value and spend increase significantly. Our second quarter performance demonstrated the ongoing execution of our customer strategy, which is driving continued strength in our business. We achieved total sales growth of 9% and a comp increase of 4.9%. The Anniversary Sale, our largest event of the year, performed on plan and was consistent with our trend, led by strength in Cosmetics and Women's Apparel. This past May, we announced our strategic credit partnership with TD Bank. We are pleased to be partnering with a premier financial institution that shares our customer focus as aligned with our approach of having Nordstrom employees serve our customers directly. We're planning to wrap up the process by the end of the year, and Mike will provide more detail in his remarks. As we mentioned, we are focused on further integrating our businesses through service and experience, product, and capability. Our recent initiatives around stores and mobile, along with our Trunk Club acquisition, are ways to create a more relevant experience with our customer. We consider full-line stores to be the core of our brand, providing our customers with a high level of service they expect from us. Not only are we serving more customers through new stores, we are benefiting from synergies across our channels. For example, when we opened in Calgary and Ottawa, we saw a meaningful increase in online sales in those markets. With two stores open to-date, our Canada business is performing ahead of plan. Next month, we will open our Vancouver flagship store with an elevated service offering. We plan to open three stores in Toronto over the next couple of years and introduce Racks in the fall of 2017. In the U.S., this October, we will also open full-line stores in Minneapolis and Milwaukee, and relocate a store in Los Angeles. The growth of the Rack is also an important element of our strategy to gain new customers and increase engagement across channels. As we mentioned before, the Rack business now represents our biggest source of new customers, attracting around four million in 2014. The Rack also serves as an entry point to the Nordstrom brand providing opportunities for customers to cross-shop. For example, last year, we had one million Rack customers start to shop at our full-line stores or nordstrom.com for the first time. We are on track with our Rack growth with 16 openings planned in the third quarter for a total of 194 stores by the end of the year. Mobile is an important enabler of convenience as customers increasingly desire a more seamless shopping experience. Of the U.S. population, two-thirds own a smartphone and roughly one-half shops on their device, presenting a meaningful opportunity for us with over 90% of our customers using smartphones. To evolve with our customers' rapidly changing expectations, we're rolling out new features at a rate three-times faster than last year. In addition to our ongoing mobile enhancements, we launched a unique text-to-buy feature for our salespeople, enabling customers to buy product via text. As customers continue to want a more integrated shopping experience, we view mobile as a long-term priority to provide a richer experience for our customers. Roughly a year ago, we acquired Trunk Club, a personalized innovative clothing service for men. Trunk Club is planning to roughly double its sales this year with opportunities to leverage our existing capabilities and resources. Additionally, Trunk Club's stylists have collaborated with our buying teams to pilot Trunk Club's service to women with a full launch expected in September. We're excited about the shared synergies, similar to our experience with the launch of Nordstromrack.com last spring, when we combined HauteLook's e-commerce talent with Rack's merchant expertise. From a merchandising perspective, we're also focused on integrating our business to provide our customers with a differentiated offering. This is enabled by our vendor partnerships, where we can offer a one-stop-shop for distribution across channels and categories. Through these partnerships, we've been able to better serve customers by complementing our curation in store with breadth online. For the past several years, we've expanded online selection by over 20% annually through key brands that are resonating with customers. These brands also help us create excitement and attract new customers. In particular, we're having success in our younger customer-focused departments, which are now among our fastest-growing categories. As recent examples, we're expanding Topshop, Madewell, and Brandy Melville to more doors this year. These unique brands are increasing our fashion relevance with customers in addition to creating synergies and strength across Women's Apparel. Lastly, we're building on our enterprise capabilities to support a seamless customer experience. Over the last decade, we have made significant investments to develop our multi-channel capabilities. Today, we're also focused on offering our customers faster delivery. This will be enabled by our third fulfillment center, which opens this month and will be fully operational by holiday. The center is expected to increase our fulfillment capacity by over 50%, supporting our long-term growth. In closing, we are confident in our ability to execute our customer strategy as we evolve with our customers, focusing on service and experience, product and capability. With that, I'd like to turn it over to Mike.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Blake. This quarter marked continued progress executing our customer-based strategy and evidenced that we are on track to reach our growth ambition of $20 billion by 2020. To achieve this long-term growth, we made a strategic decision several years ago to accelerate our investments to gain market share and strengthen our capabilities. These include generational investments in Canada and Manhattan, as well as our strategic investments in Trunk Club and HauteLook. Technology is also an integral enabler of the customer experience, representing a critical element in linking our enterprise. Just as importantly, we are investing to assure a strong technology platform that delivers the necessary flexibility and scale to achieve our growth ambition. Given the dynamic nature of customer expectations and its impact to our business, we are committed to evolving our financial model to ensure that we deliver sustainable profitable growth over the long-term. In the near-term, we are seeing the benefits from our investments which are driving top line strength in our business. Our 9% sales gain marks the fourth consecutive quarter of high-single-digit sales growth. We've invested in new markets and concepts with our entry into Canada and the acquisition of Trunk Club and the Nordstromrack.com launch. In the second quarter, these new businesses collectively added over $100 million to our top line. We are also seeing continued strength in our existing business. Our combined full-line store and nordstrom.com business delivered mid-single-digit comp increases over the past year. The growth in our off-price business continues with Rack's total sales increase of 13%, which represented 26 consecutive quarters of double-digit growth. Rack had a comp increase of 1.7%, on plan for a low-single-digit comp for the year. Nordstromrack.com and HauteLook grew 50% in the first half of the year, on track to reach $0.5 billion by the end of the year. As discussed previously, we're evolving our clearance strategy to make these events more relevant for our customers. Historically, our merchants had category-specific strategies to clear goods. Over the past year, we recognized an opportunity to leverage and scale our business by having all categories participate in clearance events, aligning with the seasonal markdown cadence during major holidays. We believe this is an opportunity to drive more trips and improve sell-through with fewer days on clearance. This year, we are moving towards 20% fewer clearance days relative to a couple years ago, with another 25% reduction planned next year. The quarter demonstrated good execution with respect to inventory and expense. Our gross profit rate was comparable to the prior year. We ended the quarter in a good inventory position, on plan, and current. Our inventory growth of 11% reflecting planned growth and was roughly in line with our sales growth of 9%. The underlying inventory trends of our existing business continue to be healthy, reflecting inventory levels and turns in line with our expectations. Our SG&A rate increased roughly 85 basis points, primarily due to our planned investments in Trunk Club and Canada. Our Nordstrom Rewards loyalty program is an important way for us to create new and strengthen existing customer relationships. With 4.5 million customers in our program, sales from members increased 10% and represented roughly 44% of our volume this quarter. In addition, early access to shop the anniversary event continues to be an important benefit, attracting 7% more new members. As we look ahead, we are planning to expand our program to include a tender neutral option for customers, which is targeted for next year. Next, we'd like to provide additional color on our capital framework. We maintain a strong financial position, ending the quarter with a cash balance of $425 million and adjusted debt to EBITDAR of 2.1 times. Maintaining balanced capital allocation year-to-date, we incurred $425 million in net CapEx, paid $140 million in dividends, and repurchased $265 million in shares with $735 million remaining under current repurchase authorization. Return on invested capital of 11.9% decreased from 13.2% a year ago, primarily reflecting the acceleration of our growth investments. Our credit card portfolio remains healthy, with delinquencies and write-offs around pre-recession levels. Moving on to the credit transaction. The sale of the receivables will improve our capital efficiency. We expect to receive approximately $1.8 billion in net proceeds at closing. Because we are planning on fully funding our long-term growth through our current operations, we're not intending to apply the proceeds to our incremental investment. While we are currently evaluating our plans, we are committed to maintaining our capital structure using a balanced approach. In terms of the financial impact of the transaction, we reclassified our receivables as held for sale in the second quarter, resulting in the reversal of the allowance for bad debt. In addition, under the program agreement with TD Bank, we will be entitled to a substantial portion of net revenue generated by the portfolio. We estimate the cash impact of this revenue share agreement while maintaining our credit operating expenses will result in roughly 50% of credit EBIT retained. This is based on our current level of receivables. We believe that, going forward, this EBIT gap could narrow due to the future growth in the portfolio. Lastly, we are working through the details of the transaction and its related accounting treatment. An update of the overall financial impact will be provided following closing, which is expected by the end of the year. Now let's turn to our 2015 outlook, which remains on track for the year. Relative to our prior outlook, we narrowed our EPS expectations to the high-end of the range before factoring the second quarter credit impact. Our top line expectations reflect the continuation of current trends with total sales growth of 8.5% to 9.5% and a comp sales increase of 3.5% to 4.5%. In closing, we're making progress in executing our strategy and achieving our growth ambitions, which is centered on our goal of delivering a superior customer experience. With that, I'll turn the call over to Trina.
Trina Schurman - Director-Investor Relations: Thank you, Mike. Before we get started with Q&A, we'd like to ask that you limit to one question. If you have additional questions, please return to the queue. We will now move to the Q&A session.
Operator: Thank you. And our first question comes from the line of Jeff Stein with Northcoast Research. Please go ahead with your question.
Jeff S. Stein - Northcoast Research Partners LLC: Good morning, guys. One of your competitors recently indicated that they do about 5% of their sales in tourist destination type markets, and that's had a pretty material impact on their comp store sales. Just kind of curious, if you look to your business that way and if you could just give us some indication what percent of your sales would be in markets such as Los Angeles, Seattle, Chicago, and so forth.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Well, Jeff, this is Mike. We, certainly in those markets, do have tourists that visit our stores. We really haven't commented or, frankly, paid particular attention to the amount of tourists we have in those individual stores. I mean, we're focused on running our business and having the best product, and to-date, it really hasn't been a discussion point for us.
Jeff S. Stein - Northcoast Research Partners LLC: Got it. Can I ask a follow up question, then? Wondering on Trunk Club for women, is there going to be an incremental spend? In other words, was that part of your original plan when you targeted the estimated losses that you indicated in your Q4 release or will this be incremental?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: It's not incremental to the current projections that we've shared.
Jeff S. Stein - Northcoast Research Partners LLC: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Charles Grom with Sterne Agee. Please go ahead with your question.
Chuck P. Grom - Sterne Agee CRT: Hi. Thanks, gentlemen, and congrats on a good quarter. Mike, just to clarify your comment here on the percentage of EBITDA you're going to retain. Is the 50% of your credit – is it 50% of the credit income that you're going to retain, is that all-in or is that less the loyalty reward expense? Can you just kind of explain that in a little bit greater detail for us?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Basically, the credit EBIT that we currently report we segment out in our financial statements, it will be 50% of that reported amount. In terms of loyalty, we continue to retain all the costs of our loyalty program.
Chuck P. Grom - Sterne Agee CRT: Okay. Good. And then can you just again, just on the credit, can you explain how the $51 million that you received here in the quarter, how did that get accounted for?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Basically, it was roughly $64 million of the gain related to the reversal of the allowance for doubtful accounts. And in addition to that, we had some expenses related to the transaction and also we had impairment of an asset that we had on the books.
Chuck P. Grom - Sterne Agee CRT: Okay. And then just my last question, it'll be real quick. The guidance that you're giving – the forward guidance, that does not include anything from credit going forward, right? In terms of – I'm sorry – in terms of the credit sale?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: It doesn't include any additional amount, that's correct. It's just what we've recorded to-date.
Chuck P. Grom - Sterne Agee CRT: Okay. Okay, great. Thanks very much.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks.
Operator: Thank you. And our next question comes from the line of Neely Tamminga with Piper Jaffray. Please go ahead with your questions.
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Great. Thank you, and congratulations on a well-executed quarter. Just wanted to ask a little – I just want to ask a little bit more about Anniversary Sale. Two questions. Did you see – what sort of fashion dynamic did you see in Anniversary Sale beyond just dresses and coats that you could share with us on early fall that gives you some confidence to the back half? And secondly, I know from time to time you guys will comment about how people will purchase kind of fuller priced product during sale moments, whether it's clearance or Anniversary Sale. Could you give us some characterization of that behavior as well? Thank you.
Erik B. Nordstrom - Co-President and Director: Hi, Neely. This is Erik. I'll take that one. Anniversary was executed really well for us. I'd start with some context. It's an enormous amount of volume for us in a month that is a very slow month in the industry. So it's a big part of our year every year, a lot of planning goes into it. And it helps a lot of the flow of our year. One thing that has changed a bit over the years, our customers are more and more interested in buy now, wear now merchandise. So it's less about selling merchandise that our customers put away in their closet for October and November than it used to be. So I guess, in that regard, it's not quite the predictor of more true fall selling, but it is new brand new merchandise that customers are choosing to buy now and wear now. And then our top-performing divisions for the event were Beauty and Women's Apparel. Across Women's in particular our younger customer departments really had a terrific event. We continue to see a lot of strength in Topshop, Brandy Melville's extended distribution helped. We launched Cupcakes and Cashmere line in t.b.d. So there was a lot of newness in Women's and a little more around the year in customer that got traction. Again, Beauty, both treatment and fragrance proved to be really strong.
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Neely.
Operator: And our next question comes from the line of Oliver Chen with Cowen & Co. Please go ahead with your question.
Oliver Chen - Cowen & Co. LLC: Hi. Congratulations on an awesome quarter.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Oliver Chen - Cowen & Co. LLC: Regarding the evolving clearance strategy, the slide's really helpful. I just wanted to get a sense of the overarching theme here. Is the objective to increase merchandise margins? And I was wondering the implication of driving trips and having less days. Like, what's the longer term vision for how these work better? They do seem more customer-centric.
James F. Nordstrom - Executive Vice President and President, Stores: Oliver – yeah, this is Jamie. I'll take that one. As Blake said, or I think it was Mike said, we've been consolidating what used to be different categories, clearance events. We'd have a Women's clearance event and then a few weeks later we'd have a Men's clearance event. To consolidate those into fewer, bigger events that – I agree, I think they are a more relevant way for customers to shop, and they do coincide with how our industry traditionally receives and moves on to the next season. Yeah, we definitely see an opportunity to improve our turns and our margin. That's not really the point, though. I think it's about maximizing our ability to have a flow of fresh new goods into our stores. That's what drives our business more than anything else. And certainly driving trips is part of that, but we hope to drive trips by having stuff the customers want to buy. So the more we can execute that flow of fresh new stuff, hopefully that will drive trips overall.
Oliver Chen - Cowen & Co. LLC: Okay. That's awesome. And your comments on mobile were really helpful about those details. As we analyze mobile in the holiday season, what would you say would be the most incremental kind of year-over-year changes that the mobile customer is going to experience this year versus last?
Erik B. Nordstrom - Co-President and Director: Oliver, this is Erik. A couple of things we've launched in the last quarter. Text to buy would be one we're pretty excited about where I believe we're the first to have the functionality where customers can buy through texting with their salesperson. We launched a personalized homepage on our mobile site. We have integration with our loyalty program, we launched an Android app, and we also launched near-store notification. So when you're driving by our store, we have relevant notifications we can send to our customers. Those, I think, would jump out to me as the biggest differentiators versus last year.
Oliver Chen - Cowen & Co. LLC: Okay, great. Thanks. Best regards and good luck for holiday.
Erik B. Nordstrom - Co-President and Director: Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Oliver.
Operator: Thank you. And our next question comes from the line of Matthew Boss with JPMorgan. Please go ahead with your question.
Matthew Robert Boss - JPMorgan Securities LLC: Hey, guys. Great quarter. You are one of the few retailers out there that's seeing positive brick-and-mortar sales. I mean it's a pretty tough question, but do you think maybe we've seen a potential floor in terms of the shift that you had been seeing from brick-and-mortar towards e-commerce? And with that, any change in traffic patterns at brick-and-mortar in terms of some of the changes that you've made to the promotional strategy?
James F. Nordstrom - Executive Vice President and President, Stores: I'll take that. This is Jamie. You know, we've been focused for a number of years on really trying to create a seamless experience for our customers, whether they're shopping online or in the store or on their phone, and we've made, and we continue to make progress on that. We don't think the customer is loyal to channels. We don't hear customers talk about channels very much. Customers value experiences, and so the more successful we're at in creating a great shopping experience, no matter how they're choosing to shop, I think the better our business will be. And so we're talking about mobile and the things we're doing there. The sale can happen all over the place. They might be shopping in a store and buying on their phone. The customer doesn't care where the sale gets recorded. They just want the best stuff and they want to have the best experience on their terms. And so the more we're focused on that and less on the channel, I think the better our business will be.
Matthew Robert Boss - JPMorgan Securities LLC: Great. And then just a follow up, as we think about the profile on a go-forward basis, I guess, Mike, can you help bridge for us the delta between a potential return to mid-teens ROIC over time versus today's low-double-digits? And any changes we should consider as it relates to the credit transaction, in terms of the ROIC?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Yeah, Matt, we should see over the next 12 months the impact of the investment cycle start to flatten out on the ROIC, and then we should see it start to progress back up. In terms of the impact of the transaction – of the credit transaction, once that cash gets fully deployed, we should expect several hundred basis point improvement in the ROIC.
Matthew Robert Boss - JPMorgan Securities LLC: Great. Best of luck, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay. Thanks, Matt.
Operator: Thank you. And our next question comes from the line of Joan Payson with Barclays. Please go ahead with your question.
Joan Payson - Barclays Capital, Inc.: Hi. Good afternoon and congratulations on the strong quarter.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Joan Payson - Barclays Capital, Inc.: I was hoping you could talk a little more about the reduction in clearance days. Are you expecting any short-term disruption to comps from that, just given the optics will look a little bit different to the consumer? And then also, in line with that, we've been hearing from a few vendors and brands out there that they're working on becoming less promotional in the department store channel or resisting a little bit the off-price exposure to some degree. Has that affected your business at all in the Rack or in terms of changing the promotions?
James F. Nordstrom - Executive Vice President and President, Stores: Joan, this is Jamie. I'll take that one. I think if you look at our top line and overall performance over the last few quarters, you can infer that our evolving clearance strategy is driving part of that. We're pretty happy with our progress there. Clearly, we're moving some sales around on the calendar and the history gets a little mixed up, but overall we're pretty happy with the performance so far and the results we've had. In terms of promotion, we're not really a promotional retailer. We do compete in an industry that is pretty promotional, and we do often have to compete on price when another retailer might get promotional on a certain brand or classification. We would certainly hope that, as an industry, there is less promotion and we get more focused on service and differentiated product assortments. We think that's what drives the healthiest business over time and not the short-term promotion. So – but we'd certainly welcome that, and we hope that it does happen.
Joan Payson - Barclays Capital, Inc.: Okay. Thank you.
Operator: Our next question comes from the line of Kimberly Greenberger with Morgan Stanley. Please proceed with your question. Kimberly, your line is live.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: I'm sorry, can you hear me now?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yes.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Hello?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Hello.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Okay. Sorry. I'm so sorry. My phone was on mute. Really nice quarter. I'm wondering, we heard yesterday from Macy's that they were seeing some signs of more promotional activity. They indicated really at the Bloomingdale's level, the sort of higher end department store level. I', wondering if you're seeing any of that in your business. And maybe you can just update us on the success of your price matching strategies that you're working on. Thanks so much.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Jamie, do you want to comment again on the promotional end?
James F. Nordstrom - Executive Vice President and President, Stores: Yeah. I mean, as I mentioned earlier, over the last couple of years, I don't think it's been a secret that our industry has been more promotional than historical levels. I can't speak to any particular competitors out there what they are doing. We're pretty focused on our deal and our customer, and what works for them and how to best serve them. So I couldn't really speak to that. The second part of your question was on, say that again?
Erik B. Nordstrom - Co-President and Director: The price matching.
James F. Nordstrom - Executive Vice President and President, Stores: Price matching?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Price matching.
James F. Nordstrom - Executive Vice President and President, Stores: Yeah, we've long believed for many, many years that we don't want to be undersold. That if a product that we sell is available for less out there, then that's the price that the market is at, and we need to be there. So it is part of the nature of our business that if you can buy something that we sell cheaper somewhere else, if we don't match that price, you're probably not going to buy it from us. And we think it's just good customer service and part of earning our customers' trust that we have market prices. We set our prices fairly, and we're a full-price retailer. We sell that merchandise at regular price until it's time to clear it out. When there is a promotion that we need to match, we'll match it. But it's all about earning the customers' loyalty and earning their business over the long-term.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: And thanks, Jamie. Kimberly, I would just add that in terms of the impact year-over-year, our overall merchandise margins were relatively flat year-over-year so any perceived increase in promotional activity did not have any kind of significant impact to our margin performance.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yes.
Operator: Thank you. And our next question comes from the line of Ed Yruma with KeyBanc. Please go ahead with your question.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hi, guys. Thanks for taking my question, and congratulations on a great quarter.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Ed.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: First, I guess, Mike, just a quick clarification on your commentary on capital structure. Are you saying simply that the existing cash balance is kind of the way we should think about framing it going forward? Or are you targeting your kind of current leverage ratio? And then I guess as a follow up, you guys have had great growth in e-comm, obviously investing against a lot of that growth opportunity. At what stage do you begin to leverage some of those investments so that e-comm margins improve? Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Ed. The comment around capital structure is, frankly, it's about those two items you mentioned, but it's also about how we deploy capital. I think one of the things you might have noticed in the last quarter, that the amount of capital that we invested was almost equal to the amount of capital that we deployed back to shareholders. And so the inference there is we want to continue to have a very strong balance sheet and we want to allocate our capital in a way that delivers the best returns both by reinvesting in the business and returning it back to shareholders. So that's basically what we're saying. In terms of the leverage of the investment, well, certainly, our intent and what we do is we wouldn't make these investments unless we thought we were creating value. And we still expect them to create value. I think one of the challenges we all face right now, we're still in relatively early stages, particularly in this e-commerce space in terms of understanding how that model is evolving and the elements of that model that we need to find to be more productive. So we do expect to continue to create value. We have a long-term aspiration to get back to that mid-teens ROIC, and that will come from these investments starting to generate some additional profit.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Great, guys. Thanks so much.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay. Thank you.
Operator: Our next question comes from the line of Dorothy Lakner with Topeka Capital. Please go ahead with your question.
Dorothy Senghas Lakner - Topeka Capital Markets: Thanks, and good afternoon, everyone. Congrats also on the quarter from me. And certainly all of the efforts to bring new product into the stores, you've had tremendous success with some of the younger departments, as you said. Just wondered if you could update us on where we're going to end up in terms of expansion of those brands by year-end. I think you had said last quarter, Topshop would be at 90 by year-end, but also just wondered about Brandy Melville and Madewell, which is relatively newer. And then also, you've put six Shoes of Prey boutiques into some of your larger stores. I wonder how that's going and whether you plan to expand that.
Erik B. Nordstrom - Co-President and Director: Hi, Dorothy. This is Erik.
Dorothy Senghas Lakner - Topeka Capital Markets: Hi.
Erik B. Nordstrom - Co-President and Director: I'll take a stab at that with gone (34:32). Topshop, we grew six doors in the second quarter to get to 73, and you're right, we plan to be at least at 90 by year-end. That business is doing terrific. And I would highlight on that is our growth in Topshop is not just coming from new doors, our top store growth – some of our best business has been our original doors that have that. They've been a terrific partner and have made, and as great merchants do, those subtle adjustments to really deliver what the customer is looking for. So, great shape in Topshop. Brandy Melville, we've launched in 15 doors. I don't think we've announced any plans for expansion past that, but certainly it would be our intention to have that be successful and get into more doors. Oh, Madewell, I don't have – we're at 30?
Blake W. Nordstrom - Co-President & Director: 15 to 30 (35:27).
Erik B. Nordstrom - Co-President and Director: There we go.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay. And then Shoes of Prey, was there -
Blake W. Nordstrom - Co-President & Director: Yeah. Shoes of Prey, we're in the...
Dorothy Senghas Lakner - Topeka Capital Markets: Yeah, all those (35:37) shoes.
Blake W. Nordstrom - Co-President & Director: ...and to-date, we've been pleased with that test or that partnership, and we're continuing our shoe team led by Scott Meden to work with those folks about future opportunities. But today, I think both sides are happy with how that's going.
Dorothy Senghas Lakner - Topeka Capital Markets: Great. Thank you, and good luck.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Dorothy.
Operator: Our next question comes from the line of Paul Trussell would Deutsche Bank. Please proceed with your question.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Well, good afternoon. Good quarter, guys. When it comes to Nordstrom Rack, you had a difficult compare from a year ago. Just wanted to know, are you guys pleased with the 1.7% comp performance this quarter? How you think about the business in the second half of the year? And are we already seeing perhaps the dot-com business maybe take a small bite out of the in-store sales?
Blake W. Nordstrom - Co-President & Director: So, Paul, this is Blake. Yes, we are very happy with our Rack business, and my comments were that – and it was in the slides I believe as well – that we saw 13% growth. And in Mike's comments, as I recall, he highlighted that we've had 26 consecutive quarters of double-digit gains totally. So the big headline there is that we're gaining market share there, and it is meeting and exceeding our plans. It's a terrific investment for the company and our shareholders, and continues to be highly productive. We recently just did some post-audits on some of our newer stores, and they're outperforming. It's interesting you talked about the online or e-commerce part of that business. We're new with Nordstromrack.com and it married with HauteLook. When you flip those two together, it was a 16% gain for the quarter. So the low-single-digit comp increase was an improvement in the second quarter from the first quarter. It's in keeping with our plan and we fully expect that to meet our plans at year-end. So overall, the Rack business is very strong and healthy and contributing in many ways.
Paul E. Trussell - Deutsche Bank Securities, Inc.: That's helpful. Thank you. And then you have a very detailed slide in the 2Q presentation that outlines the margin impact of growth initiatives and breaking out the Canada and Trunk Club versus the enablers. As we think about that drag from the East Coast fulfillment center, Mike, and the expanded loyalty program, is that something that kind of rolls over into 2016 as well? Or is Q3 and Q4 kind of the heaviest points of investment? And then similarly on Canada and Trunk Club, the drag seems to lessen as we move towards the fourth quarter. Is that just a function of it being the holiday period in 4Q? Or directionally, should it continue to improve in terms of contribution as we turn the corner?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Well, Paul, first thing is I won't go into too much detail as it relates to 2016. We like to share more of our thoughts on that plan when we – coming February. But that being said, starting with the East Coast fulfillment center, that's going online in the third quarter, and the reason you see that large incremental change starting in the third quarter is because the asset goes into service and we start to recognize both the depreciation as well as the cost of running that building. Now early on, that building isn't going to be quite as productive as it will be as our business continues to expand. So we will see some drag from that. And in terms of Trunk Club, Trunk Club is starting to anniversary the recognition of the acquisition accounting because we acquired that business last year at this time, and so you're going to start to see the year-over-year impact of that start to fade. But we'll certainly play that out more for you when we talk about 2016.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Thanks a lot. Good luck, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure.
Operator: Our next question comes from the line of Lorraine Hutchinson with Bank of America. Please proceed with your question.
Lorraine Hutchinson - Bank of America Merrill Lynch: Thank you. Good afternoon. It looks like you took the SG&A rate a little bit higher for the year. I was hoping you could give us some context around what the additional expenses were driven by.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yeah, Lorraine, this is Mike. The majority of that increase is related to fulfillment costs. As we continue to see the online segment of the business growing at an accelerated rate, we're seeing the variable costs related to that business go up.
Lorraine Hutchinson - Bank of America Merrill Lynch: Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yeah, thank you.
Operator: Our next question comes from Michael Binetti with UBS. Please proceed with your question.
Michael Binetti - UBS Securities LLC: Hey, guys. Good evening. Congrats on a great quarter.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Mike.
Michael Binetti - UBS Securities LLC: Mike, I wanted to see if I could pick you apart on the gross margin outlook just a little, so I understand what you're thinking for the second half. If I put together a few of the data points here, I think you said that the gross margin on Trunk Club in Canada was only about one basis point better than reported, so those seem to have similar gross margins to the total business. You point to the enablers becoming a bigger drag in the back half, but those seem like they would hit more on – those seem like they would hit gross margin more. I'm trying to think if you're telling us that the merch margins are going to improve since you're basically guiding gross margin flat in the back half.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Well, Michael, you did pick us up a little bit on that. We didn't quite go into that level of detail the way you explained it, but what I will say is that part of the issue in the gross profit line, while we have seen some misses (41:32) within the business, we also see the Rack growing at a rate that's faster than the rest of the business, which on that line, on that gross profit line, does have an impact of putting a little pressure on that line. But, in terms of those other components, we really didn't get into that level of detail, and I think what we guided for the balance of the year is consistent with where we expected business to be just several quarters ago.
Michael Binetti - UBS Securities LLC: All right. And let me just ask you a quick follow up then. I think you said last quarter on the current – you said you want to keep your current capital structure, but I think you said last quarter that you don't really love accelerated share repurchases, but it seems like your investors could participate in a pretty big slingshot in earnings over a five-year outlook if you were to somehow direct a majority of the $1.8 billion to lowering the share count as you start rolling off peak investments in Canada and Manhattan and e-commerce and the Rack acceleration this year. Can you just help us think about what kind of vehicles are the most efficient for you at this point? I don't feel like you're pointing us to some kind of a one-time dividend that would pay people a cash sum today. That doesn't seem like it's as efficient as what you would look for longer term.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Well, that's kind of a leading question, Michael.
Michael Binetti - UBS Securities LLC: Isn't it?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: What I'll say to that is that, we continue to evaluate all our options on there. I mean, we have a diverse base of shareholders, and we've gotten input, various levels of input, and we're evaluating that. We haven't made a decision yet as to exactly what we're going to do, but I think keeping in line with the fact that we like to keep things balanced and we like to consider all our alternatives, those that you mentioned are part of that.
Michael Binetti - UBS Securities LLC: Okay. Thanks a lot, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay.
Trina Schurman - Director-Investor Relations: We'll now take one more question.
Operator: Thank you. Our final question comes from the line of Richard Jaffe with Stifel. Please proceed with your question.
Richard E. Jaffe - Stifel, Nicolaus & Co., Inc.: Oh, gosh. Thanks, guys. What's first? Can you talk about some of the other categories that performed well or perhaps underperformed dramatically that you see as an opportunity in the second half? And then, if you could also comment on Trunk Club's thinking regarding inventory and the opportunity to blend the Nordstrom inventory and the Trunk Club offering.
Erik B. Nordstrom - Co-President and Director: Sure, Richard. On the merchandise categories, as I mentioned, younger customer departments were a standout. Dresses were good. We saw strong business in denim, women's fit in particular. Men's tailored clothing was a standout in our men's area. Below our average, I think two areas that are going to drive some attention, watches and handbags, two areas that had a number of years of outsized growth have been below the average. I think that's pretty cyclical. It's hard to have to be above the average every single year. But those areas I would call out. For the Trunk Club inventory, to-date, it's been a men's business and they buy their own inventory. We have found some opportunities for our merchandising group to help them. But Trunk Club for women is really a transformational effort for our two teams. Much like launching Rack.com was for our HauteLook team. That was an initiative that really brought our team together and had to be executed in a highly integrated way. Trunk Club for women is the same. To execute that successfully, our teams needed to work together. So we will be leveraging our women's inventory to support that business. We'll be buying a little bit extra for it, but mainly leveraging our Nordstrom.com inventory that is housed in our Cedar Rapids fulfillment center. And we've been piloting Trunk Club for women since the beginning of the year, slowly ramping that up, and the customer response has been very encouraging. And we're on track, as Blake mentioned, to have a full launch in September, and we're darn excited about it.
Trina Schurman - Director-Investor Relations: Great. Again, thank you for – oh, sorry, Richard.
Richard E. Jaffe - Stifel, Nicolaus & Co., Inc.: No, thank you.
Trina Schurman - Director-Investor Relations: Okay, thank you for participating on today's call. A replay along with the slide presentation and prepared remarks will be available for one year on our website. Additionally, you'll find an overview of our performance at the end of the slide presentation. Thank you for your interest in Nordstrom.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.